Operator: Good day, ladies and gentlemen, and welcome to the Alarm.com First Quarter 2016 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the conference call over to Jonathan Schaffer with The Blueshirt Group. Please go ahead. 
Jonathan Schaffer: Thank you, Abigail. Good afternoon, everyone, and welcome to Alarm.com's 2016 First Quarter Earnings Conference Call. As a reminder, this call is being recorded. Joining us today from Alarm.com are Steve Trundle, President and CEO; and Jennifer Moyer, CFO.
 Before we begin, a quick reminder to our listeners. During today's call, management may make forward-looking statements, which may include projected financial results or operating metrics, business strategies, anticipated future products and services, anticipated investment and expansion, anticipated market demand or opportunities and other forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those contained in the forward-looking statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and reported results should not be considered as an indication of future performance. Please note that these forward-looking statements made during this conference call speak only as of today's date, and the company undertakes no obligation to update them to reflect subsequent events or circumstances other than to the extent required by law. Please refer to our SEC filings as well as our financial results press release for a more detailed description of the risk factors that may affect our results.
 Also, during this call, management's commentary will include non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics for our reported results can be found in the tables of our earnings press release, which we have posted to our Investor Relations website at investors.alarm.com. This conference call is being webcast and is also available through the Investor Relations website.
 So with these formalities out of the way, I'd now like to turn the call over to Steve. You may begin. 
Stephen Trundle: Thanks, Jonathan, and thank you, everyone, for joining us today to discuss our first quarter results. We're off to a solid start in 2016. SaaS and license revenue increased 25% from a year ago and exceeded the high end of our guidance range. Adjusted EBITDA grew 45%, and adjusted EBITDA margin increased almost 200 basis points on a year-over-year basis. Operating cash flow doubled over Q1 2015, and we ended the quarter with over $135 million of cash on the balance sheet.
 In addition to our strong financial performance, we also made progress in the areas of product innovation, customer engagement and international distribution. Let me take a few minutes to discuss each in greater detail.
 We strive to be at the forefront of product innovation and continuously make enhancements to our platform that improve the system capabilities and user experience for both residential and commercial subscribers. Each week, our development and quality engineering teams release a new cloud-based build of Alarm.com, and our end customers and service providers instantly obtain the benefit of whatever has been improved. The changes week-to-week can be modest but, over the course of a quarter or a full year, are quite substantial. By way of example, we took several steps to grow our video offering in the quarter. Video is an increasingly important area for us. Subscribers who purchased an Alarm.com video solution from one of our service providers tend to invest more and engage more with their systems. Video is also a core component of most commercial security deployments.
 In the first quarter, we expanded our line of indoor and outdoor cameras. Our broader lineup at different price points will allow us to engage a wider set of customers and continue to drive higher video attachment rates. We also migrated our recently acquired Secure-i commercial-grade video surveillance solution to the Alarm.com cloud infrastructure, which will improve the performance and scalability of this offering. And shortly after the close of the quarter, we launched a new smart video doorbell suite in partnership with SkyBell Technologies. We view the doorbell as a natural extension of our video footprint and expect to equip our service providers with a range of form factors at different price points over time. 
 In early April, we had a strong presence at the International Security Conference and Exposition or ISC West, the largest event in the U.S. for the physical security industry. During the show, I had a chance to spend a significant amount of time with many of our service provider partners. They were enthusiastic about our new enhancements to our platform. I also continue to hear that they are increasingly standardizing their business operations on Alarm.com through our enterprise services platform. The suite of tools and resources is designed to help our service providers manage and grow their business. I want to highlight one of these partner services called Customer Connections that is achieving a lot of traction. 
 Customer Connections is a marketing service that allows our service providers to grow the enterprise value of their business by engaging their existing customers. This is a new opportunity for the industry enabled by our platforms data analytics. Customer Connections manages highly targeted email campaigns to drive end customer engagement with their system, an important factor for lowering account attrition, and it also generates upsell opportunities. As we continue to expand the breadth of our end-user solutions and as consumer interest in enhancing their system with automation capabilities grows, we believe that upsell will be an increasingly important opportunity. To date, more than 800 of our service providers have enrolled in Customer Connections. 
 Our new system enhancement module product, which we call SEM, is another tool we're offering our service providers to help transition accounts as AT&T begins shutting down its 2G network. As I've indicated in the past, this device allows a service provider to upgrade legacy 2G or even hardwired installations to state-of-the-art 4G LTE network capabilities with enhanced Alarm.com services without spending a lot of money to replace equipment. SEM is now generally available to trained dealers, and we're hearing early positive feedback as we execute a steady roll-out of this new technology.
 Another highlight in the quarter was some growing momentum in our international business. We are now working with the 2 leading security brands in the Australian market, ADT Australia and Chubb Home Security. We will be targeting approximately 9 million homes in that country and are excited to see that our partners are successfully launching offerings. Our partnership with Securitas is also moving to the next phase. A marketing pilot will take place later this month, and we continue to expect a broader launch into several European markets by the end of the year.
 Lastly, I should note that we recently announced some changes to our team. First, I want to thank our outgoing CFO, Jen Moyer, for her 7 years of contributions at Alarm.com. We wish her all the best in her upcoming role as CFO at an early-stage private company in the Washington, D.C. area. Jen is going to have the opportunity to build out the financial function again from the ground up. I have no doubt she will be as successful at her new company as she was at Alarm.com. We have commenced with a search to find a new CFO and AJ Gollinger, our Controller, will serve as Principal Accounting Officer on an interim basis. AJ has been with us for close to 4 years and plays a major role on our finance team. I am confident he will be able to step in along with the rest of our finance team and ensure a seamless transition.
 In addition, we added Darius Nevin to our Board of Directors in March. Darius brings significant experience in both the security industry and in public company accounting. He is already fully engaged in the company's business. We feel fortunate to have someone of Darius' caliber join our board team, and I look forward to his assistance and guidance as we move forward.
 To conclude, I should say that we are pleased to report a strong start to 2016. Our first quarter results demonstrate consistent execution in a growing and increasingly global market. We are raising our fiscal 2016 revenue and adjusted EBITDA targets and look forward to updating you on our progress as we move through the year.
 I'll now turn the call over to Jen, who will provide you with details on our financial results and our increased financial guidance. Jen? 
Jennifer Moyer: Thank you, Steve, for the kind words. I very much enjoyed my 7 years with Alarm.com, and I am proud of what the company has accomplished during that time. While I'm excited about this next chapter of my career, I will miss being a part of what is a very exciting time for Alarm.com. I leave knowing we have a deep bench in financial reporting and compliance as well as a board with substantial public company and financial expertise to guide the company through this transition. With that out of the way, I'll start with a summary of our first quarter results and then provide guidance for the second quarter and full year before opening the call to questions.
 Total revenue for the first quarter of 2016 increased 28% over the first quarter of the prior year to $59 million. SaaS and license revenue grew 25% over the same period to $40 million. The vast majority of the growth in SaaS and license revenue was from our core interactive security business, which is comprised of recurring monthly fees paid by service providers for both platform access and for the services they provide to their customers and, to a lesser extent, licenses to our intellectual property paid on a recurring monthly basis. We also saw healthy SaaS revenue growth, albeit off a small base, from nonsecurity markets like energy, HVAC and remote access management. SaaS revenue from these businesses, which we report in our other segment, increased 150% over the same quarter of the prior year. Our SaaS and license revenue visibility remains high, as evidenced by our 94% renewal rate in the first quarter of 2016, up from 92% in the first quarter of 2015. SaaS and license revenue gross margin increased 83% during the first quarter, up 200 basis points over the prior year. This improvement was a benefit of our increased scale.
 Hardware and other revenue of $19 million in the first quarter increased 35% year-over-year. This was driven by higher sales volumes in most product categories. Video camera sales across both of our segments as well as total hardware revenue in our other segment increased 60% and 130%, respectively, over the same quarter of the prior year. Hardware and other revenue gross margin increased to 25% during the first quarter as compared to 23% in the first quarter of 2015. This improvement was due to a reduction in the cost of certain SKUs due to increasing sales volumes. As we stated in the past, hardware and other revenue gross margins generally fluctuate from quarter to quarter based on product mix. Our focus remains on growing SaaS and license revenue and increasing market share. We do not manage the business to maximize hardware revenue growth or hardware margin performance.
 Total gross margin increased to 64% for the quarter, up from 63% during the same period of the prior year.
 Turning to operating expenses. We continue to invest in R&D to give our service providers a growing advantage in the market as well as to support future growth in adjacent areas. We also continue to invest in the sales and support infrastructure necessary to expand our international operations.
 Total sales and marketing expenses incurred during the quarter were $9 million, an increase of 13% over the same period of the prior year. This increase was mostly driven by higher headcount to support the growth of our domestic and international businesses. We also increased resources in customer support function to support the growth of our service provider channel and our customer base. Headcount in sales and marketing functions increased to 193 as of March 31, 2016, from 179 at the end of the first quarter of 2015. On a percent of revenue basis, total sales and marketing expenses represented 15% of total revenue in the first quarter of 2016 as compared to 17% in the first quarter of 2015. Looking ahead to the remainder of 2016, we expect sales and marketing expenses to increase on a percent of revenue basis. We plan to continue to add headcount to support our international expansion and other growth initiatives as well as to support our marketing initiatives, such as the Customer Connections program Steve mentioned previously.
 General and administrative costs increased 86% to $13.1 million over the same period of the prior year. Excluding $3.5 million of legal expenses related to IP litigation, which we exclude from adjusted EBITDA, G&A expenses were $9.7 million in the first quarter or a 37% increase over Q1 2015. This quarter's G&A costs were impacted by incremental legal cost of approximately $1 million to support our growth in operations as a public company as well as other IP-related matters, including licensing IP from others and filings related to our patent portfolio. G&A was also impacted by the timing of our annual all-company off-site, where our executive team and employees spend a couple of days each year to review our plans and goals for the year. This year, we held the event in January as compared to the third quarter in previous years. Personnel-related expenses increased about $500,000 year-over-year as we continue to add resources to support our growth and build out functional areas related to operating as a public company. Headcount in G&A related functions increased to 59 at the end of the first quarter of 2016, up from 55 as of March 31, 2015. Net of the effective IP litigation expenses, which we exclude from adjusted EBITDA, G&A expense represented 16% of total revenue in the first quarter of 2016, as compared to 15% in the same period of the prior year. Notwithstanding the slight uptick in the first quarter, we expect to realize leverage in G&A expenses, excluding IP litigation costs, over the course of 2016.
 R&D expense was $10 million in the first quarter, an increase of 29% over the first quarter of 2015. The increase in R&D expense is almost exclusively related to growth in headcount in our core business. Personnel-related expenses in our core segment increased about $2.5 million over the first quarter of 2015, which was partially offset by a $400,000 reduction in personnel expenses in our other segment as we reallocated certain employees back to our core business. The total number of employees in research and development grew to 267 at the end of the first quarter of 2016 as compared to 203 as of March 31, 2015. R&D cost represented 17% of total revenue in the first quarter of 2016, consistent with the comparable period in the prior year. Looking ahead to the remainder of 2016, we plan to continue to increase our investment in R&D, both in absolute dollars as well as on a percent of revenue basis. We were making these additional investments to deliver on our product road map and enhance our platforms capabilities for both our residential and commercial subscribers as well as for our suite of enterprise tools that help our service provider partners grow their businesses.
 Adjusted EBITDA improved to $10.2 million in the first quarter of 2016 as compared to $7 million in the same quarter of the prior year. This 45% increase was largely due to an $8.7 million increase in gross profit in the quarter. We allowed some of the increase in gross profit to fall to the bottom line while continuing to invest for growth, particularly in R&D-related headcount. We added 82 new employees across the entire company over the last 12 months, with about 78% of those new employees hired into R&D function. Our adjusted EBITDA margin was 17% in the first quarter of 2016, as compared to 15% in the first quarter of 2015.
 We ended the quarter with cash and cash equivalents of $135.8 million, up from $128.4 million as of December 31, 2015. We generated $6.9 million in cash flow from operations during the quarter versus $3.5 million in the first quarter of 2015. The increase in cash flow was primarily due to fluctuations in working capital, with the largest drivers being an increase in accounts payable due to timing, partially offset by an increase in accounts receivable from growth in revenue as well as timing.
 Capital expenditures of $2.5 million during the quarter increased from $1 million during the same quarter of 2015. This was largely driven by the build-out of our new office space, which we moved into in late January. We expect full year 2016 capital expenditures to be in the $10 million to $12 million range.
 I want to conclude by initiating SaaS and license revenue guidance for the second quarter 2016. Additionally, I will update our guidance for SaaS and license revenue, hardware and other revenue, total revenue, adjusted EBITDA and non-GAAP earnings per share for the full year. For the second quarter of 2016, we expect SaaS and license revenue to be in the range of $41.2 million to $41.4 million. For the full year 2016, we are raising our SaaS and license revenue guidance to be in the range of $170 million to $170.5 million as compared to our prior guidance of $169 million to $169.5 million. Total revenue for 2016 is now expected to be in the range of $239 million to $242.5 million, an increase over our previous guidance of $236 million to $239.5 million. Hardware and other revenue is expected to be in the range of $69 million to $72 million, as compared to our prior guidance of $67 million to $70 million. We also now expect full year 2016 adjusted EBITDA to be in the range of $40.4 million to $42.4 million. Non-GAAP adjusted net income for the full year is now projected to be $22.5 million to $23.7 million or $0.47 to $0.49 per diluted share as compared to our prior guidance of $22.2 million to $23.3 million or $0.46 to $0.48 per diluted share. This is based on an estimate of 48.3 million weighted average diluted shares outstanding. Our full year 2016 stock-based compensation expense is expected to be approximately $5 million. We also reiterate our full year tax rate expectations of approximately 37%. 
 In summary, we are pleased with our first quarter results and continue to have a positive outlook for the rest of 2016 that is driven by ongoing strength in our core business as well as encouraging progress in our international and other initiatives.
 We will now turn the call over to the operator for Q&A. 
Operator: [Operator Instructions] Our first question comes from Heather Bellini with Goldman Sachs. 
Jack Kilgallen: This is Jack Kilgallen filling in for Heather. So I guess you talked about -- in terms of your growth initiatives, you talked about investing in the core technology, international expansion as well as other initiatives. And I was wondering if you could talk a little bit about the other initiative. Is there anything in here that you're particularly excited about over the next 12 to 18 months? And then I had a follow-up. 
Stephen Trundle: Sure. Jack, this is Steve speaking. So yes, we've outlined some of the other initiatives in the past, and we are continuing to invest in really, at the moment, 3 key areas in addition to international. One is the business of satisfying a need for unattended delivery and unattended showings of properties. The other is energy and particularly demand response, providing the ability to aggregate a ton of devices, a ton of thermostats and other sort of electricity-consuming devices and present that consumption to a set of electric utilities who would like to take some consumption off the grid. So that business is energy hub. And the last is an effort we have underway to take the thermostat that we shipped last year and really leverage that into an offering that the HVAC channel can take to market every time they install a new HVAC system. So those are 3 areas where we're particularly focused in addition to international. 
Jack Kilgallen: And then Jen, I guess, first of all, best of luck in your future endeavors. 
Jennifer Moyer: Thank you. 
Jack Kilgallen: And secondly, on the 25% subscription revenue growth, was this driven by a similar mix of subs growth and ARPU growth as we saw in 2015? 
Jennifer Moyer: It really -- the 25% growth in SaaS revenue is driven by a number of factors. I can't point to just one thing. So obviously, growth in subscribers is the primary driver of SaaS and license revenue, but it's a combination of things. So we saw some contribution from license revenue this quarter. As we reported, our SaaS and license revenue renewal rate improved this quarter. So that obviously helped. And then some of the initiatives that Steve just spoke to that we report on our other segment, they started to show some contribution to the growth rate as well. So I can't really point to one thing. It's really a combination of a number of things. 
Operator: Our next question comes from Nikolay Beliov with Bank of America. 
Nikolay Beliov: I was hoping if you can provide us some more update on the Securitas deal. And also last quarter, you gave specific guidance that you're going to exit the year at 4,000 international subscriber additions per month versus 2,000 exiting last year, and I was wondering whether you're on track with those targets. 
Stephen Trundle: I'll start. This is Steve with the question regarding Securitas, and then I'll hand off to Jen on kind of an update with regard to how we're tracking relative to some of the metrics we've presented in the past. With Securitas, it's going well. We're launching in one market -- let's see. We're in May -- later this month, a solid trial. We've worked out a lot of the testing that needs to be done to deploy a serious security offering. And then we're expecting in the back half of the year to build off of that effort and introduce the offering in several other markets. So it's going at about the pace, I think, we expected. Securitas is a company that takes great care to make sure that what they take to market is of a high-quality state, and they're very comprehensive in the type of testing that they do. So we're pleased with the progress. As we said before, they're going to be deliberate, but it's going roughly to plan. Jen? 
Jennifer Moyer: Yes. Yes, you're exactly correct. So we were putting on about 2,000 accounts per month at the end of the year, and our expectations we outlined were up to 4,000 accounts or getting to 4,000 accounts by the -- per week by the -- I'm sorry, per month by the end of 2016. We're well on track. We're not going to publish those numbers every quarter, but when we look at our business plan, we're making -- we're exactly where we are expected to be at the end of first quarter to track towards that 4,000 per month goal by the end of 2016. 
Nikolay Beliov: Got it. And my second question is around the dealer mix. You have local dealers, DIY dealers, large dealers and dealer programs. Can you update us on the trend of these 4 different buckets? What is in there? And at this point in the company evolution specifically to the U.S., which dealer channel is driving the business the most right now? 
Stephen Trundle: Okay. In terms of an update on those different segments and sort of the trend lines, I may have missed the second half of the question, but as you said, yes, there are what we call the carriage trade base of dealers, lots of small dealers that are very focused on bespoke installations, both commercial, residential. From our perspective, that segment is doing very well. We think that they're well prepared to deal with the increase in complexity on a lot of these installs, where the consumer wants to cover not just sort of 5 doors and a couple of windows and maybe a motion detector, but instead wants to put in a full Internet of Things platform that does security and a lot more. So that takes someone going to the house, inspecting what may need to be installed, looking at the product mix and doing the job right. And those folks are pretty well-equipped to meet that need, and we're seeing strength in that segment. I think they also tend to be tied in pretty tightly to the local custom builders in many markets. So as the builder market does a tad better, I think we see a little more business there. The DIY segment, for us, this is sort of professional-grade security DIY as sort of in contrast to a set of retail DIY products. And that segment also continues to do very well. I think other companies have reported progress there as well. So we're seeing solid growth there. The large dealers that have the capacity to market also are making good progress. If they can blanket a market with coverage and they have a good brand in the market, we're seeing the phones ringing for them. So that seems to be working out well. I would say probably, the one place where we're a little more steady as she goes is -- would be in the dealer program segment, where you have a dealer program that then works itself with lots of different mass market dealers. And that part of the 4 pieces, I would say that part is more flat than the other 3, not bad but just not growing at quite the same pace at the moment. 
Nikolay Beliov: Got it. And Jen, it's been great working with you, and good luck with your future endeavor. 
Jennifer Moyer: Thank you. It was my pleasure as well, Nikolay, and hope to meet up with you in the future at some point. 
Operator: Our next question comes from Michael Nemeroff with Credit Suisse. 
Christopher Rochester: This is Chris Rochester on for Michael. So I was curious. Have you seen any early impact from ADT going private? I mean, has there been any change in dealer activity there? Or can you give any color? 
Stephen Trundle: This is Steve speaking. So they haven't had that many days yet. I think they've had 8 days to really recalibrate the management team and focus on what their next steps are. So we haven't seen any material impact whatsoever in the market as it relates to either our existing ADT relationship or in our Protection 1 relationships, so no real impact yet. I think everyone is sort of guessing a bit what the impact will be, but we can't say we've seen anything just yet. 
Christopher Rochester: Okay. And then on the Customer Connection product, is that a free or a paid service for dealers? 
Stephen Trundle: The Customer Connections product is part of our platform, which means that a dealer that's using our platform gets access to that service for free. 
Christopher Rochester: Okay, great. And then maybe one more follow-up. It might be too early to say on the contribution from SEM, but could you maybe provide some color on the opportunity there, maybe how many subscribers you think could potentially be addressable currently? 
Stephen Trundle: Yes. So it's still a bit early, but we were pleased with the progress we made in the first quarter with that product. It's been -- as we said last call, we expected a fairly deliberate roll-out. We required technicians who are going to be installing that product to go through an LMS-based training sequence to make sure that they understand the way the product works with different types of control panels, but we did begin deploying. And it wasn't tens or dozens. It was thousands, and we're seeing the product work pretty well. So we're pleased with that. As far as the TAM on that product, it's -- we think it's a significant TAM. There are really 2 primary purposes. One is to help our service providers with the migration from 2G to LTE. We're the only ones in the market, we believe, right now with an LTE-based hub product. And a number of service providers still have some AT&T 2G units out there that will need to be migrated over the next 6, 7, 8 months. So that's one part of the market. That's probably the smaller part, but the bigger part are all of those homes who were installed before interactive security went mainstream. And while we've been around a long time and we've always promoted interactive security, the big chunk of the market really came on in the last 3 years. So anything installed much before that likely is what we would refer to as a plain old security system. And a lot of our service providers tell us, "Hey, we've got to get back to some of these customers and we need to get them upgraded to something that's current, and we need a less expensive way to do that than install an entirely new control panel." And that was one of the reasons we built this product. So I think you can say, if you look at the overall size of the security TAM in North America, call it 22 million properties, and you assume that there are probably 6 million, 5 million to 6 million installed with some form of interactive security and automation, that still leaves us 15 million that, assuming no market growth will over time, need to be upgraded to some type of offering. And whether that upgrade occurs with a product like SEM or whether it occurs with a dealer going back out and really renewing the entire body of hardware in the home, that will be made -- those decisions will be made probably in the field on a case-by-case basis, but we think the overall size of the TAM is pretty decent. 
Christopher Rochester: Great. That's helpful. And Jen, best of luck with your future endeavor. It's great working with you. 
Jennifer Moyer: Thank you. I appreciate it very much. 
Operator: Our next question comes from Matt Pfau with William Blair. 
Matthew Pfau: I just wanted to get a little bit more detail, Steve, on the commercial piece. It's good to hear that you're able to integrate the new video product. But in terms of what additional functionality you think you need to really make the product start to take off, I guess, one, what is that functionality? And then I guess in terms of getting your customer base maybe to push the product a little bit more, what sort of needs to happen on your part to start getting a little bit more traction on the commercial side? 
Stephen Trundle: Sure. So it's a good question. On the commercial side, the way I look at it is there are sort of 2 levels of capability that I think we need to bring to the market. And to date, we've been, for the most part, focused on what I characterize as Level 1. Level 1, basically, is you have to have a portfolio of hardware products, cameras and signaling capabilities that meet the minimum standards for a commercial installation, and you need to evolve -- or we need to evolve and we have evolved the portal such that an entity that has multiple locations can easily manage all of those locations through a single interface. So you saw us do things, like the Neo control panel last year in partnership with Tyco. We rolled out the Secure-i offering, which was -- which we obtained through the acquisition to gain access to the commercial-grade access cameras. And we really put in place the pieces required to be viable in the commercial side of the market. And then we think our software already is best-in-class. So anyone deploying an interactive solution that happens to also do an energy management, we think, would be well-suited to use our technology. And luckily, a lot of our service providers serve both residential and commercial segments. So the channel is there. The second gradient of functionality, in my opinion, needs to look at commercial not really as just one market but instead a grouping of 5 or 6 different verticals that all have somewhat differing needs. So it's not really true, in my opinion, that a restaurant has the identical needs, in terms of commercial protection, as a drugstore. And for us to really kind of take advantage of the strengths we have in software, I think you'll see us move towards building in more drivers that are specific to certain verticals that we think have more mass than -- or at least have the mass to justify some more vertical-specific drivers into the offering. 
Operator: Our next question comes from Mike Koban with Raymond James. 
Mike Koban: Really, just a couple of simple housekeeping questions. You might have said -- and I apologize if you did, but would you tell me the sub renewal rate -- the subscription renewal rate, excuse me? 
Jennifer Moyer: Yes, sure. This is Jen. So we look at our SaaS and license revenue renewal rate, and it was 94% in the second quarter. And that's on a trailing 12-month calculation, and that was up 200 basis points from the same metric at the end of Q2 -- I'm sorry, Q1 2015. 
Mike Koban: Awesome. And Jen, I believe you spoke a little bit about OpEx. I just missed the G&A. Did you say it was going to be flat throughout the rest of the year in R&D and... 
Jennifer Moyer: Yes, I said I -- I'm sorry, I didn't meant to cut you off. I apologize. 
Mike Koban: No, please go ahead. 
Jennifer Moyer: We expect to show leverage in G&A over the course of the year, excluding the IP litigation expenses, which we exclude from adjusted EBITDA. So we do expect to show some leverage as G&A as a percentage of revenue for the full year of 2016 even though the first quarter was higher than it was in the prior year. 
Mike Koban: Okay, great. And then finally, just kind of a general question about -- I know you don't want to put too much emphasis on the hardware segment, but as far as your releasing of new products, I know you have done so up to this point year-to-date. I was just wondering if you could give us a little color on what you kind of see as far as your product road map going forward, if that's something that you want to continue, if it's something that you want to just kind of keep as a lever to pull or if you see it becoming something more important in the future. And that would be it for me. 
Stephen Trundle: This is Steve speaking. So of those 3 options, I think the middle one, the lever to pull, is probably the right answer there. We don't -- we're not projecting at the moment that we're going to really significantly attempt to expand our hardware footprint. Our preference is always to work with partners on the hardware side, and that's generally what we do. There have been a few places through time where we felt that we had specific expertise that we needed to capitalize on to really deliver a high-quality solution to the market. And radios and the LTE technology are an example of that. I think SEM has been an example of that, the image sensor and video cameras. But generally, our outlook is, let's let the market build the ecosystem and then let's make sure we're well positioned to participate in that ecosystem. And occasionally, there may be something where we think this is a place where we should bring something to market for some reason, but generally, we want to be an ecosystem participant. So that's how we view the world. 
Operator: Our next question comes from Brad Reback with Stifel. 
Brad Reback: Steve, with Monitronics seeming to undertake a modification of its go-to-market strategy here recently, has that impacted your relationship with them at all? 
Stephen Trundle: No. I don't think it has impacted our relationship with them at all. I think they are taking the steps they need to take and have done, I think, a great job articulating their plan to their service providers, who also often happen to be our service providers. Obviously, if the dealer is obtaining a slightly lower multiple for each new account, the dealer will need to adjust their business model in some way, shape or form to lower their subscriber acquisition cost. So we may see some trend there that hasn't yet really shown up, but at the moment, it looks to me like the relationship is more or less the same. And I think they're taking the right steps in their business. 
Operator: And our final question comes from the line of Jeff Kessler with Imperial Capital. 
Jeffrey Kessler: Jen, first, it's been a great long period working with you, and I wish you all the best in your future endeavor. 
Jennifer Moyer: Thanks, Jeff. I certainly -- sorry. 
Jeffrey Kessler: And secondly, Steve, I want to congratulate you guys on your ISC West award. There's tons and tons of product awards, just very few services awards, and you guys got it. And it means -- it probably means something in terms of branding when you go out there with your dealers as opposed to one of 15,000 product awards. 
Stephen Trundle: Thanks, Jeff. I appreciate that recognition. And I definitely agree. I mean, training of all the things you can do well is one that you have to do well to support the service providers. So we were thrilled with that. 
Jeffrey Kessler: The first thing I wanted to ask was the types of service platforms and then some of the new services that you've been offering here. How quickly is this going to be ported? Or how quickly is this going to be put into the international arena? Is there a -- are you working on separate types of schedules there? 
Stephen Trundle: Yes, when you say all the different services, I think what you're referring to are just the various things that we talked about as sort of new releases or capabilities in the other segment that we're developing. 
Jeffrey Kessler: Exactly, exactly. 
Stephen Trundle: And the playbook there really is the market for our core offering internationally looks very good to us right now. So it's a great way for us to get out, stay focused and build a toehold in a number of different international markets. And we don't want that team to become -- that team, meaning our international team, to become distracted with too many products in the trunk, so to speak. We want them to be very focused on helping the service providers that we're identifying internationally get up and running with their offering. And that's a big undertaking. The time when a partner is most support-intensive is during the first 12 months of the relationship. It's all new, and sales people need to be trained, the technicians need to be trained, et cetera. So that's really our focus. It's take the core offering and do the R&D necessary to make sure it works reliably internationally, put in place the servicing team and the sales team to make sure we're able to take that message out there, and that's it. Now it just so happens that we also have other things waiting in the wings that once we've established a toehold and we feel like we've got the right presence in the market and the right infrastructure there to be highly supportive, we can bring in other products and services through time. And we'll likely do that, but it's not on our sort of next 6- to 12-month deployment road map. 
Jeffrey Kessler: Okay. Secondly, with regard to Protection 1, who has been one of your dealers, they have a fairly significant commercial presence, which they hope to, obviously, leverage through whatever ADT was setting up. I'm more interested in whether or not you folks have been providing any interactive platform capabilities for their commercial business. 
Stephen Trundle: Right. At the moment, Protection 1's commercial is primarily -- I believe they call the offering eSecure, and that is not running on the Alarm.com platform at the moment. We obviously do our best to support Protection 1 and look forward to opportunities, potentially gain additional traction there, but that's not part of the Alarm.com platform use at the moment. 
Jeffrey Kessler: I don't have any further questions. I just -- also, congratulations on getting Darius. He should be a really great addition to your board. 
Stephen Trundle: Thank you. Hopefully, he's on the call. All right. 
Jennifer Moyer: Thanks so much, Jeff. 
Operator: That does conclude the Q&A portion of today's call. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day. 
Stephen Trundle: Thank you.